Andrew Cole: Good morning, everybody, and thanks for joining me on the call today. I'm speaking to you today from Kaurna Land. And I'd like to pay my respects to the Elders past, present and emerging. And I recognize and respect the Kaurna people's cultural heritage, their beliefs and the relationship with the land. They acknowledge that they are continuing their importance to the Kaurna people living today. I am joined by Warrick Ranson, our CFO. And on today's call, we will take you through the highlights for the quarter before moving to Q&A. Before we start, though, I'd like to also take a moment to acknowledge the passing of one of our Prominent Hill Mine team members, of Byrnecut [indiscernible] in September. I'm deeply saddened by this tragic event now, and we share and I share our condolences with his family and friends. We and Byrnecut are conducting our own investigations and are supporting authorities on this, as we learn how we can further improve our site safety. The well-being of all our workforce is critically important to us, and we are making sure they continue to be supported. Now, on to the rest of our Q3 results. The next few slides are our usual disclaimer and compliance statements which are available on our website for you to review at your leisure. Since our last update, there have been some additional modest lifting of COVID restrictions and progress on vaccination rates. There are more milestones that need to be reached. And we know we are now transitioning in Australia to a different phase on the national roadmap. So this is something we will continue to carefully monitor. The OZ Minerals team has kept pace with the evolving requirements, and managed to deliver a strong operating performance with full year copper production tracking in line with guidance. Annual gold production guidance has been raised predominately due to higher grades in the Prominent Hill stockpiles, and cost guidance has been lowered. To ensure we continue to maintain a safe workplace for our people and to minimize the risk of interruptions to operations, we have encouraged and requested our workforce to get vaccinated as soon as possible if they are medically able. In Brazil, 100% of our workforce has received their first dose of vaccination, and circa 30% have received their second dose. We are in the process of identifying the vaccination rate of our Australian workforce. In the quarter, we started work on the Prominent Hill, Wira Shaft mine expansion, with critical work packages being awarded and the shaft collar construction now commenced. Progress was made on the West Musgrave study and we are evaluating further low carbon and modern mining opportunities. West Musgrave team is in Jameson as we speak, and they will be holding an Open Day tomorrow to update the community on the progress. Infill drilling has started at West Musgrave satellite Succoth Copper deposit. The Carajás East Hub is taking shape with Pedra Branca transitioning from development to production. We’ve also released a maiden mineral resource for Santa Lúcia. With project activity advancing and commencement of the Succoth drilling program ability than anticipated, 2021 project study cost guidance have increased in line with this progress. Our financial position remains strong, with $188 million in cash at the end of the quarter with a significant liquidity available. Many of you on this call will be familiar with our strategy. As a quick recap, our strategy is centered around creating value for our stakeholders. This is what we believe will help us deliver on our purpose of going beyond what's possible to make lives better. Each stakeholder that's our employees, our shareholders, our communities, our governments and suppliers are equally important to us. We look through the lens of value creation for all five stakeholder groups in our decision making. And our usual company snapshot slide is an overview of our operating assets and projects at different stages of development, and the type of product they produce or are expected to produce. A more interactive version of the snapshot will be available on our refreshed website that we expect to go live next month. Moving on to a more detailed level, what's meant to have on this slide and the different hubs and spokes of each of the provinces we are developing or looking to develop, their key steps and potential growth projects. Our approach is to look for copper rich provinces, where initial or existing investments can serve as a launching platform or hub for other opportunities. On stakeholder value creation metrics, we introduced these metrics earlier this year to provide a tangible assessment of how and where we can create value. Reporting on these metrics is aligned with the different elements of the OZ way. A few of our value creation initiatives continue to be driven by the transition towards the COVID sites Australia, with for example, COVID-19 vaccination hubs now operating in our Carrapateena and Prominent Hill mines, and we continue to encourage our workforce to be vaccinated via a voluntary vaccination reward and incentive program. Others include on country meetings with another Ngaanyatjarra Council, local Jameson community and the West Australian Environmental Protection Authority to increase understanding of the West Musgrave project and progress development of the improvements. We are also now well progressed on our decarburization roadmap to meet our company aspiration of zero emissions, which we expect to be able to release early next year. Our quarter three performance is summarized on this next slides. The theme that Prominent Hill was saddened and upset by the fatal injury during the quarter, our investigation was Byrnecut in those of the authorities are continuing. And this has overshadowed the strong operating performance for this quarter. As a result of the performance year-to-date, we have increased the annual gold production guidance and I'll speak more to this in the guidance section. We started work on the first production stopes that Pedra Branca with a theme in Brazil having now taken Pedra Branca from a concept study to be in permanent build and into production in just a few years. Finally, we've kept costs well controlled and I’ll allow Warrick to speak to this in a bit more detail.
Warrick Ranson: Thanks, Andrew. Good morning everyone. As usual, let me touch briefly on capital management to begin with. It's certainly an interesting time in copper, as the price continues to reflect a confluence of dynamic supply and demand factors, such as the overall industry's production constraints and the impact of COVID on economic activity. Copper has extended its more recent gains following the reductions in LMA [ph] and Chinese warehouse stocks, and concerns over energy constraints impacting metal availability. Both the refined middle market is extremely tight concentrated lift flow, and is partly contributed to arrive in safety assays, as well as also prepare for annual benchmark negotiations. We do expect to see volatility continue over the balance of the year, as China's construction section undergoes a period of deleveraging. And with global economic activity forecast to be lower, we expect some softening of the price, albeit with a retention of the higher end of historical trends given the current demand drivers. Over the quarter, these pricing levels continue to contribute to another strong revenue and subsequent operating cash flow performance. This enabled us to again close the period with no draw on our revolver, and invest $166 million back into the ongoing growth and development of the business. We will begin to enter this investment in the fourth quarter and the commencement of development activities at the Prominent Hill shaft, following the board's approval of that project in August, and the continued ramp up of activity at West Musgrave. We ended the quarter with $198 million in closing cash as Andrew mentioned, after both tax and dividend payments, which included by the interim dividend declared under our sustainable dividend policy and the board's determination of a special dividend following the strong half year results. We had another solid take out of that dividend reinvestment option at 28% and continue to approach funding the growth pipeline at our existing operations from operating cash flow. Moving on to Slide 11, and as mentioned the further $166 million of operating cash was reinvested into the business. Underground mine development activities continued across all operations. And the team at Carrapateena further advanced construction of the Western Access Road with a view to now completing this by the end of the year, increasing our transport capacity and flexibility. At Prominent Hill, we progressed the installation of additional ventilation raise bores for the underground, and events the refurbishment of our general and office facilities continuing to improve our flexible work environments. We remain focused on proactively addressing current market configured as de-escalation in relation to capital as well as operating costs, with no material impact on our current operating activities experienced during the quarter. In the Carajás, we saw the arrival of the first of their own mining fleet in conjunction with the transition into production stopes at Pedra Branca, and made the stage gate payment for the Santa Lucia project as part of our exploration activities, following the delivery of the successful drilling results. Activity at West Musgrave also continued to advance as we progress more on-site work. We paid the cash component by the interim and special dividend as mentioned, and a strong revenue position flowed through the trade receivables, in line with shipping schedules, but also resulted in an uplift in our progressive tax installment obligations. Moving on to the costs, and gold production continue to over perform on both free grade and recoveries lowering C1 costs. At Prominent Hill, overall mining productivity was impacted by a number of operational causes following the fatality we have on site and lower than preferred levels of broken stocks undergrounds. Forces acting on the healthy dollar were largely China related, once the U.S. dollar also fluctuated around policy comments by the Fed. This sort of 3% weakening on average rates for the quarter providing an additional benefit to U.S. dollar C1 costs. On an absolute basis, tightness of skilled labor continued in the market, and COVID control measures also impacted some labor movements, particularly around maintenance. They did not materially change our productivity profile for the quarter. Freight costs though continue to surge with current VDI levels reflecting a 12-year high. While we don't see these levels as sustainable, alleviating congestion and rebalancing value change is likely to take some time. Major manufacturing disruptions have also increased this quarter with extended COVID restrictions. Almost overall mining costs at Carrapateena were relatively consistent with the prior quarter, and planned maintenance shaft and our proactive case management strategy impacted mining drives, and increased the cost per pound. We saw are trending towards higher freight grades in the latter part of the quarter following that activity and excellent recovery rates from the same throughout the quarter. In the Carajás we began to extract production ore from our first site at Pedra Branca from mid-August, which will see a progressive increase in mine grade in the fourth quarter, offsetting higher underground mining costs. Thank you, Andrew.
Andrew Cole: Thanks so much, Warrick. I’ll now touch on a few more details around Prominent Hill’s performance. The flowing effect as you can imagine from the fatal incidents, and the stage restarted the operations impacted underground material movement for the quarter. A thorough review of our safety controls was undertaken before we allowed work to resume on site. Grades from the underground production and long-term surface stockpiles continued to exceed expectations, with copper production on track to meet guidance. Gold production is tracking towards the upper end of the updated guidance range, and we saw a corresponding reduction in unit costs due to higher gold byproduct credits. Finally, together with Port Augusta Secondary School, Career Employment Group, Clontarf Foundation and our traditional owners and the Department for Education, the team is providing indigenous students with 32 training and resource infrastructure work preparation with 12 students nearing completion of the course, and reviewing work opportunities with OZ Minerals. In terms of the Wira shaft line expansion, we awarded a number of key contracts following Board approval in August, including awarding the shaft sinking contract to Byrnecut, which is the underground mining service contractor at both Prominent Hill and Carrapateena. The sharp collar construction site work has already started and is due for completion in January 2022. The designs for the shaft sinking equipment are progressing well and orders have been placed on the mill runs for the head frame steel, with deliveries scheduled for September this year. We also restarted drill testing exploration targets, identified through the crowdsourcing program a couple of years back. This program will continue through year-end with results expected early in 2022. On the Carrapateena where mine development and total gold mine performance improved during the quarter as anticipated. However, we did prioritize lower grade areas in the upper levels of the ore body during the quarter to speed up cave propagation. This impact the overall head growth delivered to the plant, but has helped with cave propagation. We still expect grades to trend towards reserve grade over the coming quarters. I wanted to acknowledge the team for the great work they've done in continuing to enhance Carrapateena’s processing performance. They milled a monthly record of 448,000 tonnes in September, which included a planned maintenance outage, demonstrating the capacity of the processing plant to achieve a 5.3 million tonne per annum annualized throughput rate. It was also pleasing to see a multi-year freight service contract at Carrapateena awarded to a local business, Energy Logistics, as it will bring more potential work opportunities for businesses in the Upper Spencer Gulf as well as apprenticeship and full time role opportunities. We have made provision to fund projects at the Carrapateena mine and processing plants to support the increase in sub level cave production rates to circa 4.7 to 5Mtpa from 2023, along with optionality to maximize hub level cave production, and accelerate ramp up towards the Block Cave production rate at 12Mtpa. Work on the Western Access Road construction is nearing completion and is expected to be operational in December this year, which will give us year round access as a safer and lower cost whole route to the highway. Acceleration activities for the block cave are underway with the rapid development of the decline progressing well with monthly development right now on plan following the underground contractor change out earlier this year. The Block Cave decline is on track to start later this year. The Block Cave will allow us to fully capitalize on the value opportunity beyond the existing sub level cave operation and unlock characters potential to be a multi-generational lowest quartile cash costs of producing province. Onto other highlights from West Musgrave, I briefly mentioned the Open Day at Jameson that is taking place tomorrow. Aside from this, we continue to advance the project with several of the environmental approvals underway. The EPA path for public consultation has been completed and we have submitted the EPA top five application. The infill drilling program was completed at Nebo-Babel with the results in line with expectations. We continued with the engineering design of the Mineral Processing Plant, the Hybrid Renewable Power Plant, Village Aerodrome and NPI to de risk the project from the technical perspective. The project remains on track for an investment decision in the second half of 2022. In the Carajás East Province, processing of production ore from the first production stopes of Pedra Branca commenced in August. This was a significant milestone for our Carajás East Hub strategy, which was progressed further with a maiden mineral resource released for Santa Lucia also during the quarter. At Antas, we started civil works with mechanical assembly to support the transition of the open pit to a tailings storage facility from next year onwards. In the Carajás West Province, resource drilling continued at Pantera. That has been completed now with resources and study update now expected to be delivered later this year or early next. Onto our growth pipeline where I'm going to call out just a few things, drill results from the three holes at the Three Ways project in North Queensland revealed no significant mineralization. Ground based geophysical surveys at the Breena Plains Project was completed successfully, and that identified a four kilometer discreet anomaly which we will follow up. We entered into a new project in the Northern Territory with Resolution Minerals, where we are targeting sedimentary hosted copper deposits in the McArthur Basin. A third project with our partner MPS in Sweden was added to the pipeline, is located in Northern Sweden along strike to the south of Nautanen copper and gold deposits. We continue to prepare for drilling on the Paraiso IOCG prospect in Southern Peru. And on the people front, very pleased to welcome Suzanne Hunt as our new Head of Exploration. Suzanne has global experience in mining, oil and gas and academic sectors, will be joining us starting next week. On the timeline slide, this is information on our different assets projects, their phases of development and resource reserve information on our clients. I hope that providing this quick reference makes it easier to track the estimated delivery of different assets and projects in each province, especially as we build on our growth pipeline. Moving to our key milestones for 2021, I'm just going to call out two notable changes. We've previously removed the milestone for the CentroGold injunction due to COVID and other delays. We are working on setting up a new milestone. And we are expecting an update to the Santa Lucia study now mid-2022, together with an updated mineral resource that will incorporate additional drilling mostly which is complete. Moving now to guidance, full year copper production is tracking in line with guidance. At Prominent Hill, copper and gold production is expected to be at the top-end of our updated guided range with higher than expected gold grade in stockpiles resulting in a further increase to annual gold production guidance. At Carrapateena, gold production is expected to be at the top-end of the range, however annual copper production is now expected to be at the lower end of their guidance range as we drew from lower grade areas during Q3 to encourage cave propagation. We have now returned to drilling from the higher grade areas of lower sub levels, and expect to see grades to continue to trend to reserve over the coming months. 2021 project studies cost guidance has increased by $30 million as studies have progressed through milestones. And full year group C1 cost guidance has lowered to $0.60 to $0.70 per pound. Previously it was $0.65 to $0.75 per pound. This is mainly due to higher byproduct credits associated with the expected higher gold production at Prominent Hill. So finally to close out, the few key takeaways before we move to Q&A. I feel we had quite a very positive third quarter from group production and cost perspective. Group copper production is tracking in line with annual guidance. Annual gold production is set to increase and cash cost guidance has now been lowered. Growth projects including the Prominent Hill mine expansion, West Musgrave study and project studies are advancing. Our financial position remains strong with $188 million cash balance at the end of the quarter. And our debt facility is undrawn. And lastly, our capital measure framework provides a strong platform for allocating capital to the right projects and accessing finance shouldn't be required to fund their considerable growth pipeline. So we're now going to move on to Q&A. As a reminder, I've got both Warrick and myself here, so operator could you please remind people how to ask questions. Thank you.
Operator: Thank you. [Operator Instructions] Our first question comes from Rahul Anand at Morgan Stanley. Please go ahead.
Rahul Anand: Hi, Andrew and Warrick, thanks for the opportunity. If I can start with the Prominent Hill please on the grades. So the stockpile of grades, I just wanted to perhaps retouch based on that and sort of see how you're seeing the grade here. I mean, is there an element of bringing the grades forward which might impact production in future periods? Or is this genuine positive reconciliation that you're continuing to see? And in terms of the mining reserve grades, a bit of a drop there as well at large. Is that now where the grade is expected to be for the rest of life, considering it reverted back to that reserve grade? That's the first one. I'll come back to the second.
Andrew Cole: Yeah. Hi, Rahul. Thank you. Thanks for your questions. Firstly, the grades that we're seeing coming out of the stockpile is more about positive reconciliation. So we're not sequencing the stockpiles to try and take higher grades and lower grades. It's these stockpiles were built over a decade ago. We haven't done any drilling of the stockpiles to try and understand the grade distribution in them, if you like. So there is an element of high variability expected from these stockpiles. And at the moment, we're seeing positive reconciliation coming from it. So, we don't see the Americans [ph] drilling the stockpiles if you like to try and tighten that up. So it's more about reconciliation than it is timing. On the second question, Rahul, in terms of underground grade coming through, you'll notice on the charts that we produced, you will have seen higher grades coming through in Q1, Q2 this year. So we were prioritizing some higher grade areas in the mining sequence through the first half. And that came at the -- cost of that is lower grade material coming through now. But over time, you will see Prominent Hill emerged to reserve grade, that of course, we will be prioritizing high grade areas as much as we possibly can when they present -- when those opportunities present themselves.
Rahul Anand: Okay, all right, perfect. Look, I know there'll be some questions on Carrapateena, so I might ask one on West Musgrave. Look, in terms of the third mill that you're talking about to expand throughput further. I just wanted to understand if you can provide a bit more color on how that sort of leads to better energy management and emissions reduction. And then also, if you've done any metallurgical test work for the combination of Nebo-Babel and Succoth combined? Or, is the idea still that it stays at the end of mine life, that's for Succoth?
Andrew Cole: Yeah, okay, no, thank you. So I'll answer your second one first. So we've done a lot of metallurgical test work on Nebo-Babel. And we've done pilot crushing tests using the vehicle rollover, so we’re very comfortable and confident that we've got the data to support an investment decision for Nebo-Babel. We don't yet have metallurgical test work for Succoth so part of the program of work that we have already started is to drill Succoth or complete some infill drilling at the Succoth resorts, and collect some of that material for metallurgical testing that will then help inform how Succoth may or may not combine with Nebo-Babel or in the plant, so that with Succoth component still to be done, and that will be done over the next six or so months, Rahul. In terms of the third vertical roller mill for our current base case has to VRMs in it. Those two VRMs are close to full capacity at the 12 million tonne run rate for the mine. The renewable energy that we have scoped out at West Musgrave will run obviously at full capacity. But we also then need quite a bit of thermal energy to supplement the renewable energy to run those VRMs full capacity. So when we don't sun, we don't have wind, we don't have a lot of spare capacity to switch those VRMs off, we'll have to run them on thermal energy, the diesel or LNG, by adding a third VRM, which is purely an opportunity at the moment. What it will allow us to do is to switch the VRMs off if we don't have solar or wind available, so we can actually utilize them more in campaign mode. That brings down obviously your operating cost. It brings down your emissions materially, it increases your capital to build. It increases the working capital you've potentially carried in any one point in time. So there's a trade-offs that we're working through at the moment.
Rahul Anand: Okay. Now that makes sense. All right. That's my two. I'll pass it on. Thank you very much.
Andrew Cole: Thanks, Rahul.
Operator: Our next question comes from Paul Young at Goldman Sachs. Please go ahead.
Paul Young: Good morning, Andrew and Warrick. I’d start with Carrapateena and the head grades. Andrew, obviously, a lot of discussion over the past couple of quarters on the head grade. You just confirmed that the lower head grades during the period were due to mining, lower grade all rather than dilution. And can you give us a sense of at all so far on the October corollary, only 20 days in if grades actually have improved?
Andrew Cole: Yeah, for sure. Now, I understand the question. So look, what we've done just to summarize this for others, as well. So what we've done is, Carrapateena is going to be mine constraint that's going to be mine constrained for many years, and that’s just a result of the processing plants performing exceptionally well. So one of the constraining factors for Carrapateena is the cave propagation to surface. So we want to get the cave through the surface as quickly as we can, as efficiently as we can. So what we've done in this last quarter to stimulate cave growth was going back to the upper levels of the Carrapateena sub level and size expanding the footprint. And by expanding the footprint means we have to take some lower grade material, it's still bore, it's still got metal in it but its lower grade, but that actually increases the diameter of the cave footprint, which has actually helped them successfully, helps stimulate cave growth. We've now stopped that work, we're now back in the sequence, and we've seen the grades start to reverse or go the other way back up towards reserve grade. So the impacts that we're seeing on the grade in this quarter is only a result of us going to the upper levels and the more peripheral on the peripheries of the sublevel cave itself. So I'm very comfortable and confident to say and when I say the greater return to reserve right over the coming quarter or two. We're seeing very good reconciliation to the reserve through the plant. We're seeing no dilution coming through the cover rock, so this is only about getting the cave through the surface as quickly as we can.
Paul Young: Yeah. Thanks, Andrew. Just to follow-up, so if you're increasing the diameter, will that not bring in mineralization ore outside of the reserve? I mean, it's probably economic at these prices, but is there any impact on the overall potential reserve as a result?
Andrew Cole: No, these are fairly full numbers we're talking about also known as no impact of reserved resource. And I guess the thing to remember is the material that we're mining as part of expanding the sublevel cave footprint is the same material that eventually in 20, 30, 40-years' time, what cave will actually take. So it's still ore from a caving perspective, it's just not the most valuable ore today, given we've got higher grade in some level.
Paul Young: Yeah, I understand. I kind just keeping on Carrapateena, thinking about the plot, and they've performed very well during the period. And a couple of questions here. First of all, the gold recovery is continuing to surprise. Is there anything you can put that down to whether it's mineralogy sort of impact? And also, I see you've got some plant maintenance in the fourth quarter, can just run through, I guess, the duration of that and what's involved?
Andrew Cole: Yes, [indiscernible] might have change in the fourth quarter. Now, I can't remember how long it is, but I can let you know, whenever I can, what the length of the ore is over the phone. It's obviously built into the guidance numbers. And sorry, what was the first question?
Warrick Ranson: Gold recovery.
Andrew Cole: Yeah, gold recovery, look, this question comes up quite a bit, Paul. I would say we need a few more months, I guess, to see what the gold recovery is going to do. But at some point, we're going to have to decide whether we're prepared to bake the increase above average recoveries into our forward plan. We haven't done that today. And the reason we haven't done that today is because in the upper levels, we're still in that pile weathering [ph] zone or on the historical pile weathering of the ore body itself. So, we don't want to deal with it just yet. But I'm saying next year, we're going to have to make a decision on whether we're confident and comfortable carrying increased recoveries of gold through our mining plant. So I'd say we'll start to talk more about that in January when we issue guidance going forward.
Paul Young: Okay. Thanks, Andrew. Last one for me, if I may, just on West Musgrave. And I guess the pause in the way optimization work, which is going on at the moment. The 12 million tonne base case throughput, what are you now looking at conceptually? Is it 13? Is it 14? And it is, I guess the poor today optimization or to regular sort of process for as minerals and all companies to be honest, but yeah. Is it pause and optimization as a result of the fact that contractors are hard to find in WI and, of course, CapEx inflation is stepping up?
Andrew Cole: Yeah. No, no, so I wouldn't say that pausing for any reason other than value and risk optimizing the project. That's just the way that we work, using sort of the agile methodologies, if you like. So we are looking at opportunities to improve the project. And there are strong intentions in some of the things we're looking at between capital and operating cost, risk and optionality. So some of the things I talked about with Rahul, for example. They are real value adding opportunities, similar to the opportunity of looking at going to MHP, as opposed to producing nickel concentrate. That potentially is a real value creating opportunity. It's just not we don't have enough definition to incorporate into our base case yet. So these are real opportunities to optimize the project, we just need to work through all the intentions that come with those optimizations. In terms of the environments in Western Australia, we feel that we're on track to make a decision in mid next year, second half of next year. We are spending a lot of time in the community, that's probably been the limiting factor, just being able to get into the work area into the communities to help them understand the project, what it's going to look like, make sure that when they sign an agreement to support us building this mine, they completely understand what they're agreeing to. It just takes the time. And COVID has made that a little bit difficult, of course, being able to get into the field. But as I said earlier, our team is in the field now this week, and taking a very large contingent of the community through the project site and walking them through every element of the project, what it looks like, how it's going to feel to make sure they do understand that. Just to go back to your other question, I think it's four days so the shaft in the fourth quarter is four days.
Paul Young: That's modest. And Andrew, so just on the throughput of West Musgrave, do you have a number for us as far as what you're looking at beyond the above as well?
Andrew Cole: No, still -- look the base case is still 12. There are some combinations and permutations with some of the opportunities we're looking at, but I still hold the 12 million tonnes of our view at the moment.
Paul Young: Okay, thank you. Thanks gents.
Operator: Our next question comes from David Radclyffe at Global Mining Research. Please go ahead.
David Radclyffe: Hi, good morning, Andrew and Warrick. So my question is more of a high level one and it really goes to how the strategy the business does or doesn't sort of evolve here with a $470 copper price and $26 share price. So I was thinking, what are the opportunities maybe to make changes to the operational growth plans? How you sort of think about plans to finance growth? Do you perhaps think about some price protection, given Warrick’s comments on the copper price? And then on M&A, are you more likely buyers or sellers today? And then when you think about partnerships, are you more or less likely to think about them in this market?
Andrew Cole: Yeah. Sure, David. Look, I’ll ask Warrick to add some commentary now on a capital management plan and the analogy et cetera. But look, by and large, our company’s strategy is continuing to mature, we're not making radical changes to it. Our strategy is to find and build and operate high-quality, low cost copper assets, and copper comes with nickel it comes with gold, it comes with other byproducts and that strategy by and large hasn't changed. Our strategy is also mostly about how we go about doing this, as opposed to what we focus on. So we've spent a lot of time on organizational culture, building a value proposition that is different and highly attractive to different people, not just from within our sector, but from the outside out sector to bring diversity of thinking views opinions into the company. And I'd say we're only halfway through execution of that strategy. I think we've got Prominent Hill into a good space now with nice future. They've got Carrapateena, it's a good space now with a very promising future. We're working on getting West Musgrave into the same place, resilience and building option that we're working on that to get to the same place. We are also now actively looking for new early phase projects to add to our pipeline. So mid-stage, late-stage, early study phase projects, which we can earn into or require to optimize, and look to follow the path that we've done with Prominent Carajás and now West Musgrave. So that's still very much our stated strategy. Clearly, with COVID restrictions internationally, it makes doing that internationally very challenging. So we're putting more time and energy into Australia at the moment than we are overseas. But that's just reflective of the current situation. And I'm sure we'll pin it back once we can get access to international travel more favorably. In terms of the probability of us buying an operating asset right now, I think it's very low. Everybody is looking to sell assets, there are not a lot of great assets in the marketplace, and we're not looking to get big. We're not looking just to add tonnes, we're looking to create value. So simply buying assets at the top of the price cycle, we don't think is a great idea, unless you can bring real value to them in some way, shape or form. So that's why we're heavily focused on looking at earliest stage projects. Do you want to talk about balance sheet capital allocation?
Warrick Ranson: Yeah, I think the other thing that had their anger moving around, we've always said that everything is always -- you always have a circumstance where some things recital, if you've got the right price for it, and the created value to other things. But, I think for us in our current portfolio is certainly a core foundation for how we want to continue to grow the business. So again, we're not looking to settle down, that's for sure in today's market given that foundation. And I think on hedging, obviously, 11.500 rolls a time, it becomes a little bit tempting, I suppose. But, then you sort of say the volatility that exists. I think there's still some way to go in terms of saying how the market actually plays out in terms of price. So, I think our preference continues to be to make sure that we're operating as efficiently and productively as we can, and continuing to maintain our flexibility to maintain strong margins as we have this quarter and through the cycle.
David Radclyffe: Okay, great. Thanks, I'll pass it on.
Andrew Cole: Thanks, David.
Operator: Our next question comes from Matt Greene at Credit Suisse. Please go ahead.
Matt Greene: Good morning, Andrew and Warrick. I just have first question is just on the stockpiles at Prominent Hill. The positive reconciliation has clearly been a very great thing over the last couple of quarters. But does this potentially change your thinking on other stockpiles you may have at Prominent Hill that you’ve had deemed too low grade in the past?
Andrew Cole: In essence, no. I think we've now incorporated all of our known mineralized stockpiles into our mine plants, Matt. So, there are no other legacy stockpiles sitting at Prominent Hill that we might be able to pull into the future.
Matt Greene: Okay. That’s great. And then just moving on to Brazil, you've got stoping starting at Pedro and then Santa Lucia. These are looking quite exciting. What’s your sort of view on that private royalty that you inherited? Is there any option to acquire that at some point in the future? What's your thinking on that?
Andrew Cole: Yes, there are some royalty ratings over the deposits and tests and the mineralized systems there. I don't think we're looking to necessarily buy those out at any point in the short-term. They're just the cost of us doing business there and that was factored in when we did the deal. So in short, no, Matt, not looking at anything at the moment.
Matt Greene: That’s great. Thanks, Andrew.
Operator: Our next question comes from Mitch Ryan from Jefferies. Please go ahead.
Mitch Ryan: Thank you. I just have a question on Carrapateena, if I may. So my recollection is that your 2Q result, you're sort of very strong in your commentary that grade would trend up over the second half of this year. And you've reiterated that again now. But it did step down in September quarter, and you've given commentary as to why. I just wanted to understand was there something in the propagation qualities that changed compared to your baseline that required you to step back up into the higher levels, and focus on, I guess saving that propagation?
Andrew Cole: Well, yes and no. So, the cave has been propagating quite well at Carrapateena. So the muck pile has been propagating quite well. It is a very unconsolidated or a lighted unit above the Carrapateena. So if there was a time there where it started to slow down a little bit, then it sped up a bit. So it's more about getting in front of this than actually waiting. For this, we've got several months before we -- even if the cave stayed stationary. We've got several months before we'd have to take any action. But the limiting factor at Carrapateena is mining. So as the rest of the infrastructure is capability moves, and as you can see, the processing plant now is effectively at a 5.3 million tonne per annum run rate. The faster we can get this cave, put it through to surface, the faster we can rent the sublevel cave out, the more ore tonnes we can get out to metric plant capacity. So, it's the cave that’s the limiting factor on this, but quicker we can get it through the better, which is why we want to sort of push it through the surface.
Mitch Ryan: Okay. Thank you. And, I assume there has also been interlace – you made commentary that the air gap volume was increasing, I think in the commentary, just wanted to understand how you're managing the risk around that. And I guess that is potentially going into those upper levels as you said.
Andrew Cole: I didn't quite hear that. I think what you're asking about is cave and mine volumes at Carrapateena, I think that was the question.
Mitch Ryan: It was the air gap volume. Sorry, Andrew. The air gap volume, I think he talked about that.
Andrew Cole: The air gap.
Mitch Ryan: I just want to -- given you had called that how you're managing the risk around that?
Andrew Cole: Yeah. No, sorry. No problems here. But look, we've got several monitoring systems at Carrapateena, so we can actually see the air gaps, we actually have visual measurements down monitoring holes themselves. We've also got a number of drill holes with various sensors in, we also use cycling to monitor cave shape and the mud pile shape. And we've got various markers coming through. So there's actually I think it's what five, six different systems I think it is all over like each other that we use to verify the shape of the cave, and the size of the air gap above the mud pile. So we're quite confident in its shape, which gives us the confidence to actually monitor it and allow us to accelerate it.
Mitch Ryan: Thank you.
Operator: The next question comes from Peter O'Connor from Shaw and Partners. Please go ahead.
Peter O'Connor: Good morning, Andrew and Warrick. Just further on the caving. Andrew, you mentioned taking action. What does taking action in the cave look like in terms of time, dollars, people? How does it play out? And how do we see that in the production of the next year also, if that does occur? That’s a first question.
Andrew Cole: Yeah, hi, Peter. So we are already taking action. So by taking action in the last quarter, it was mostly about coming up into the upper levels of the sub levels which we've already retreated out, and taking expanding the footprint effectively. So that's what we've already done. And that led to taking the lower grades ore, the parallel sequence which has led to the grade drop. The other thing that we have done and are continuing to do is to perform monitoring holes at the surface, and holes in from surface that we could use in the future. We’ve had to which I don't think we'll have to do, but they're there as a safety measure for fracking or anything like that. I think, Peter, my current estimate is the exploration breakthrough [indiscernible] so that’s a sort of current mining capacity, the action that we're taking, I think we've already described already has been impactful into the results.
Peter O'Connor: So when do you broke up when you mentioned the breakthrough timing, when is that expected?
Andrew Cole: I think we're saying that middle of next year cave breakthrough.
Peter O'Connor: Okay. I think second question on guidance, just this is going to be acute that you talked about meeting copper guidance for the year. And you can easily meet the bottom end of the range given your current run rate. So that's the way you're defining when he's talking about meeting guidance, it's at the lower end of the range, because to meet the midpoint would be quite a stretch for the fourth quarter.
Andrew Cole: No, Peter, I think what I've said is we're on track to meet copper guidance on a portfolio level, probably towards the upper end. The cave is going to be towards the lower end of copper guidance.
Peter O'Connor: Okay. Thank you.
Operator: The next question comes from Lyndon Fagan at JPMorgan. Please go ahead.
Lyndon Fagan: Thanks for that. Look, I won't ask any more about the cave. But are you able to maybe give a bit more clarity on the grade profile? I know I've asked this a few times. But can -- other than just saying it's going to trend back towards reserve grade, can we be a little more specific in the next few quarters and perhaps arrange for next year that we can think about?
Andrew Cole: Hi, Lyndon. I know you’ve asked kind of the question each time. We’re probably going to answer it the same way mate, a little bit disappointment. But it is going to trend back to reserve. That's sort of what we've flagged over the last few quarters. It is trending back. If you look at the trends over the last year or so it's trending to growth reserve grade, as we've said. But there will also be some short-term variability in there depending on where we're pulling from which part of the sublevel in a way you do have the grade profile because you've got guidance. So the guided numbers will give you the profile given the hole that we're mining and the rate we’re mining. But, we don't intend to start releasing grade profiles for these assets. We are only going to be giving guidance on the middle that we're going to produce and the volumes that we are going to produce and then the cost of that to do that.
Lyndon Fagan: Yeah, that's fair enough. And look, another question just more holistically, are you able to remind us what your copper prices used in your reserves assumptions? And how mine plans could potentially change if you will then use a higher price? But what's the sensitivity on reserve to factoring in a higher copper price?
Warrick Ranson: Yeah, so we use a long-term price of 292 and 291 at the moment, Lyndon. We have run some sensitivities it's not that it doesn't really change that dramatically in terms of our reserves. But, we constantly review our copper price as well, so that does fade in ultimately to our reserve and say Andrew’s old statements. But I couldn't tell you how off the top of my head the exact sensitivity. So, I think probably what we're more sensitive to is actually the FX right. So that's another sort of key player in how we sort of think about our mineral resource.
Andrew Cole: Yeah, I think because of the types of resources we're mining and the grades of these resources, we sit quite away below the inflection point on the grade tonne curves on our reserves and our mining inventory, so it doesn't -- pricing doesn't impact our grade tonne curve and mining inventory in our sequencing all that much to be frank. So if we look at spot price in, you wouldn't necessarily see a massive shift in our reserve grade and mining sequence.
Lyndon Fagan: Okay. No worries. Thanks for clarifying that. And just another one, if I may. Did you have a look at [indiscernible]? Or based on your comments earlier are you not interested in buying a producing asset right now?
Andrew Cole: Look, we've been -- we still have a dedicated team looking at operating assets and companies around the world. So I think it's fair to say we've looked at everything, and we do look at everything. We're just not prepared to pay spot pricing for copper or gold. And we're not prepared to pay full value for inferred resources and exploration potential, which is generally where companies are pitching asset sales at the moment.
Lyndon Fagan: Thanks for that.
Operator: Our next question comes from Hayden Bairstow at Macquarie. Please go ahead.
Hayden Bairstow: Good morning, Andrew. Just a quick one on Brazil, I mean, all these I guess [indiscernible] and targets continue to push back and it doesn't seem to be much joy on the gold project, sort of way where you're at with the strategy there, typically on the gold side? And is it a point where and speaking of elevated prices for assets, et cetera, that is the potential to restructure some of the assets within the portfolio in Brazil specifically?
Andrew Cole: So maybe just break your question up into two pieces. So firstly, CentroGold, just to remind everybody, when we bought Branca with our primary target was the carriages for copper. That's our company strategy, that's our focus. With CentroGold, our primary purpose at the moment, given the injunction removed there are some things that we need to do to get the injunction removed.  The last request from [indiscernible] was to formalize a community relocation plan, a small community that resides on the project itself. That community relocation plan has been done and built. And we have now submitted a [indiscernible] so the balls is back in their court now to go through that process to approve or not the relocation plan, which would then allow us to launch an application and injunction removal, that we think the value maximizing strategy for that asset in the short-term. In the Carajás, there's a few different initiatives here. One is to get the foundation in the Carajás built in our field we're pretty much getting to that point now. We've got a good team, got a good foundation. They've got good systems, we've audited the systems we feel confident and comfortable the way they're operating. They've demonstrated they can build an asset in the Pedra Branca. We appreciate Pedra Branca and itself is not material to those minerals. But the concept potentially can vary. So Santa Lucia would be the second spoke. So their main motto is to get a sample sphere permitted, develop and producing so that we can see pivot breaker end Santa Lucia or into Antas. It then start to become cash generating with quite material. If we can then leverage that foundation into other assets that’s where it potentially can become quite material to the company. The other sort of hidden value of Brazil for us is that it has actually helped us learn how to operate internationally, all the way from the board through policies, standards and their operating regimes. So I think we would feel much more comfortable today stepping internationally into an asset than we would have three or four years ago. And that's the value that I appreciate the market doesn't see or recognize or need to. But it would give us a lot more confidence if we found an asset overseas to step into. Because stepping into an asset overseas first time cold is a very big step in order to assert that most organizations are not actually ready to do it when they do it.
Hayden Bairstow: Okay. Great. Thank you.
Operator: Our next question comes from Kaan Peker at Royal Bank of Canada. Please go ahead.
Kaan Peker : Hi, Andrew and Warrick, three questions for me. First on Carrapateena, I think it's suppose that in the same sort of quantum question is, as Lyndon with just wanted to get an understanding that development rates increasing, which is good to say. That's still below that 4,000 meter that previously guided at Carajás. So that trajectory up to reserve or back to reserve grade, how much that depends on that development rate being around that 4,000 meter mark on a quarterly basis?
Andrew Cole: Yeah, I think with Carrapateena, we guided we said -- I think my commentary was 3,500 to 4,000 meters. So as long as it's within that range, that’s plan, which they are now within. So Carrapateena’s development rate is on plan. And I think those chart are not in front me right now. But I think that each quarter is pretty much ramped up over the last few quarters now to hit this. We did see a dip in Q1, when we're changing every contract, they are comfortable. They're back on plan so that as long as they hold it there, they'll be doing fine.
Kaan Peker : Sure. And I suppose that trajectory does that sort of move into FY -- CY ’22?
Andrew Cole: Yes. Yeah, we want to see that trend continue. So from the end of this year, just as a reminder, the dedicated [indiscernible] in crusher two will continue. So that did occur and [indiscernible] will go down continue from the end of this year there to the base of the block cave, and of course we've got all of the standard development ahead of production and sub level cave production levels. So that right needs to hold for a while yet.
Kaan Peker : Sure, thanks. And just a second one, I think you talked about tax installment obligations. Just wondering if there's any tax catch up payments relating to previous years in the last couple of class off mix?
Warrick Ranson: We did settle out final return for last year so there was a slight adjustment on that Kaan, and then we pay our installments based on our percentage of revenue base which gets adjusted after we adjust our final return, so that was a natural sort of increase based on last year's results.
Kaan Peker : So the rate stays the same or is there any catch up payments are not?
Warrick Ranson: So our effective tax rate hasn't changed, it's the percentage that we get charged on our revenue basis which is the way in which the installment system works, so it's not our net earnings it’s on revenue. So that gets adjusted once you want your final return.
Kaan Peker : Thanks. Understood.
Operator: Our final question comes from Paul Young at Goldman Sachs. Please go ahead.
Paul Young: Thanks. Few follow up questions or additional questions, Andrew and Warrick. First of all on Carrapateena on the block cave that they are going to start for the fourth quarter. And, we’re now again back on the CapEx inflation sort of angle it's going up across the board and particularly on underground development. When do you – I know you probably do this on an ongoing basis. When you do your next big refresh on the capital cost estimate on the Carrapateena block cave considering that majority of the obviously the underground is lateral and vertical development.
Andrew Cole: So, that study is actually continuing now. So we've been refreshing costs, et cetera for the block cave development itself and infrastructure over the past several months. And of course, if we -- something material came up that would actually change or update the market given we've released the study results already. I think one of the key things to remember is the next capital out of underground is the second crusher chamber and that's basically procured. So we’ve derisked the second crusher chamber already. Then the next two years is underground development. So it's more underground mining and underground costs laid up than it is about large capital purchases per se. So the larger capital purchases for plant expansions, et cetera don't come in for another three years plus or minus. So it's still a way off, Paul. But if those numbers do materially change, we will update the market, but this time I don't think that's going to be the case. What's actually helping us also, of course, is every increase we can get in the current processing plant throughput rates, decreases the amount of capital we would have to spend to build a parallel processing train to get up to 12 million times. So yes, there is an inflationary environment at the moment. How long it’s going to last who knows, but we're working hard to reduce the need to actually have to spend as much of that in the first place.
Paul Young: No, absolutely, understood. Okay, great. And then on back on to West Musgrave, and the downstream nickel plant MHP. Where are you with -- two things here, one with the test work? Is it really just bench scale at the moment on the MH [ph], relatively proven technology, though many companies do it particularly offshore mostly laterites? But where are we with test work? And secondly, where are you with the interest from third parties what stage you're at?
Andrew Cole: Yeah, sure. So we've commissioned the test work for the MH. And as you say, this is not R&D, per se. It's more just testing this or this metallurgy through that process. So it's more specific than Nebo-Babel. So we've already done some of the benchtop test work. We're moving to a pilot scale here, just collecting the samples to actually put into the pilot test at the moment. In terms of the third-party, we've got a dedicated team formed here now internally, and we have reached out to a raft of different companies, mostly following up their approaches to us. So there's a long list of groups which we are now starting the process of talking about what they value, what we value, what they want from a partnership and what we want from a partnership. So that piece is still early days. And these will both track in parallel over the next nine or so months.
Paul Young: Great. Thanks again. That’s it from me.
Andrew Cole: Thanks, Paul.
Operator: Thank you. I'll hand back to Andrew for closing comments. Thank you.
Andrew Cole: Okay. Thank you, operator. Thanks everybody for joining the call today. I hope you all are safe and healthy, guys. Thank you.
Operator: Thank you so much. This does conclude today's call. Thank you, all. You may now disconnect.